Operator: Good morning. My name is Paul, and I will be your conference operator today. At this time, I would like to welcome everyone to Viking’s Fourth Quarter and Full Year 2024 Earnings Conference Call. As a reminder, this call is being recorded. [Operator Instructions] I would now like to turn the program to your host for today's conference, Vice President of Investor Relations, Carola Mengolini.
Carola Mengolini: Good morning everyone and welcome to Viking’s fourth quarter and full year 2024 earnings conference call. I am joined by Tor Hagen, Chairman and Chief Executive Officer, and Leah Talactac, President and Chief Financial Officer. Also available during the Q&A session is Linh Banh, Executive Vice President of Finance. Before we get started, please note our cautionary statement regarding forward-looking information. During the call, management may discuss information that is forward looking and involves known and unknown risks, uncertainties, and other factors, which may cause the actual results to be different than those expressed or implied. Please evaluate the forward-looking information in the context of these factors, which are detailed in today's press release as well as in our filings with the SEC. The forward-looking statements are as of today, and we assume no obligation to update or supplement these statements. We may also refer to certain non-IFRS financial metrics, which are reconciled and described in our press release posted on our Investor Relations website at ir.viking.com. Tor and Leah will provide a strategic overview of the company, a recap of our fourth quarter and full year results, and an update of the current booking environment. We will then open the call for your questions. To supplement today's call, we have prepared an earnings presentation that is also available on our Investor Relations website. With that I'm pleased to turn the call over to Tor.
Tor Hagen: Thank you, Carola. Good morning everyone and thank you for joining us today. In our previous earnings calls we have shared that Viking has certain unique points of differentiation, which have been behind our success. You can see these on Slide 3. Our 2024 performance was quite remarkable, and I believe that reflects what makes us different. The focus on our core guest demographic, the power of our one Viking brand, the value of our well-defined product, and the efficiency and appeal of our fleet. While it is not in the Viking’s spirit to be boastful, I do think that we have much to be proud of, and I will highlight a few metrics of this great year. As you can see on Slide 4. Our results were driven by 6.3% growth in capacity and a very healthy demand from our customers, which was reflected in a net yield increase of 7.4%. This led to a 14% year-over-year increase in our adjusted gross margin to more than $3.5 billion. This strong top line result coupled with our disciplined approach to expenses and focus on operational efficiency enable us to achieve an adjusted EBITDA of $1.3 billion, up 23.7% from the year before. We also managed our balance sheet well, ending the year with a 40.8% return on invested capital and the net leverage of 2.4 times. We also finished the year with record guest satisfaction scores and great operational metrics. On Slide 5, we are highlighting a repeat guest rate of 53%, our direct bookings being north of 50%, and our leading market share position, 52% for rivers and 24% for our ocean segment. We take great pride in these results as they demonstrate our ability to grow our capacity while we at the same time improve margins and continue to deliver an exceptional product. Moreover, during 2024, we also accomplished other important milestones. If we look at the next Slide number 6. On May 1, 2024, we became a publicly traded company on the New York Stock Exchange. This was a historic moment, which I consider a natural step to solidify our position as a leader in the travel industry. To cap this achievement, we received the 2024 North America IPO of the Year award from the International Financing Review magazine. Overall, I believe that our successful IPO is a testament to the strength of our business model and our great execution. The IPO award was the latest in a series of accolades we received during 2024. We were also ranked number 1 by Conde Nast traveler across the rivers, oceans, and expeditions for the second consecutive year. And we were recognized as the world's best by travel and leisure. Our commitment to providing a great customer experience continues to be recognized year after year, which is a rare feat for a travel company. We're genuinely proud of these achievements. In 2024, we also celebrated the historic return to China, offering our English-speaking guests itineraries along the Chinese coast. We really enjoy welcoming people to this phenomenal part of the world. And we also made some scientific discoveries this year. One of the most noteworthy occurred in Antarctica. Our team on the Viking Octantis discovered a new colony of penguins not previously known to science. This, I dare say, makes us real explorers. With that, I will turn to Leah to discuss our financials, but before I do, I want to congratulate her on the appointment as president. Leah, thank you very much for your dedication to Viking over the past 20 years and for your leadership as we embark on this next chapter.
Leah Talactac: Thank you, Tor. Good morning, everyone. We are pleased to have reported a very strong fourth quarter, and with this great full year results. These are on Slide 8. On a consolidated basis and for the fourth quarter, total revenue increased 20.5% year-over-year to almost $1.4 billion. This was mainly driven by higher capacity and higher revenue per PCD. Adjusted gross margin increased 19.5% year-over-year to almost $870 million resulting in a net yield of $507, 7.4% higher than the fourth quarter of 2023. Vessel expenses, excluding fuel per capacity PCD increased 0.4% this quarter compared to the same time last year. I will note that this quarter capacity increased 10.9% compared to last year, which brought down some fixed costs when calculated on a dollar per capacity PCD basis. Adjusted EBITDA for the fourth quarter totaled $306 million improving $87 million or 39.7% higher than the fourth quarter of 2023. Net income for the fourth quarter of 2024 was $104 million compared to a loss of $594 million for the same period in 2023. The net income for the fourth quarter of 2024 includes a loss of $96 million from the revaluation of warrants issued by the company due to stock price appreciation. In comparison, the fourth quarter of 2023 includes a loss of $602 million from the impact of the Series C preference shares, and an additional $37 million loss due to the revaluation of warrants. These warrants were fully exercised in the fourth quarter, and as a result, the fourth quarter of 2024 is the final quarter that this will be impacted by the warrant revaluation. Adjusted net income attributable to Viking Holdings Limited for the fourth quarter of 2024 was $200 million and adjusted EPS was $0.45. Adjusted EPS for full year 2024 was $1.86. Now, I will briefly discuss our 2 reportable segments, river and ocean. These are on Slide 9. Unless noted, I will be referring to metrics for the full year ended December 31, 2024. For the river segment, our capacity PCDs increased 3.7% year-over-year. This was primarily due to the operation of ships delivered in 2023 for the entire 2024 season. Ships delivered in 2024 for part of the 2024 season, and the addition of winter sailings in Europe. Adjusted gross margin grew 15.8% year-over-year to $1.6 billion and net yield was $533, up 11.7% year-over-year, driven by strong demand for our European itineraries. Occupancy was 95.4% for the year. For ocean, capacity PCDs increased 6.2% year-over-year, driven by the delivery of the Viking Saturn in April of 2023, and the additions of the Viking Yi Dun and the Viking Vela in September and December of 2024. Occupancy for the period was 93.9%. Adjusted gross margin increased 12.1% year-over-year to $1.5 billion and net yield was $522, up 5% compared to the previous year. Now, let's move to the balance sheet. On Slide 10, you can see that as of December 31, 2024, we had total cash and cash equivalents of $2.5 billion and an undrawn revolver of $375 million. Our net debt was $3.2 billion and we finished the year with a net leverage ratio of 2.4 times. We are very pleased to share that since our last call, Moody's upgraded the corporate rating of Viking Cruises Limited to a rating of BA3 from B1, aligned with S&Ps and reflecting the continuous improvement in the company's credit metrics. As of December 31, 2024, deferred revenue was $4.1 billion. Also, on Slide 10, you can see our current bond maturity outlook, which has not changed since we last reported, with 1 bond maturity due in May 2025, and all other maturities in 2027 and beyond. With this, I'd like to confirm our debt amortization for 2025. As of December 31, 2024, the scheduled principal payments were $490 million. From a committed capital expenditure perspective, for the full year 2025, the total expected committed ship CapEx is about $870 million or $450 million net of financing. The main drivers of the increase in total committed ship CapEx are the new river shipbuilding contracts for long ships to be delivered in 2027 and 2028. With that, I'll turn it back to Tor to review our business outlook, including our booking curves.
Tor Hagen: Thanks, Leah. If we move to Slide 12, you will see that 2025 is shaping up to be a great year. Also, demand for our core products remains strong. As of February 23rd, we were already 88% booked for the year with $5.3 billion of advance bookings. These are 26% higher than the 2024 season at the same point in time. As you can see, the figures look very good. Notably during 2025, we will grow our core capacity by 12% with the delivery of 10 river ships and one ocean ship. As you will see, we're committed to a leadership position in the river, and the delivery of 10 ships across multiple regions in 1 year speaks to that. Moreover, this past month, we also signed options for an additional 8 river vessels. But Leah, will get into these details later. As our capacity grows, I find it relevant to talk about our crew and our fleet. First, I will note that we have a fantastic crew, which has earned us more awards than any other travel company on the rivers or oceans. Most importantly, our crew is a significant reason that we receive high satisfaction ratings from our guests. And as you can tell, we believe that our crew is essential to our success. On the rivers, we also have a strong advantage in owning or otherwise controlling a great number of docking stations. We also believe that our extensive in-house operations are a critical advantage in our ability to deliver a great product. And lastly, we believe that the unique design of our ships, small and almost identical, set us apart and serve as an important value driver. If we now move to Slide 13. You will see the main areas where this approach provides benefits. From a marketing and sales perspective, all ships within each product are almost identical. This simplifies the sales and marketing process as guests choose itineraries rather than specific ships or considering their age. This strategy also allows us to generate higher and more consistent yields across the entire fleet regardless of ship age. Regarding deployment operations, a long booking window allows us to position our fleet strategically to meet guests' demands. Since our ships are almost identical, we can optimize revenue and net yield by allocating them where demand is highest. Our fleet design also streamlines operation on board. For example, crew can move across ships with minimal retraining and maintenance and repairs are more efficient. Additionally, from a nautical perspective, the river longship design can reduce disruptions due to low or high water, since ships can be swapped [indiscernible] impact. And lastly, we also gain efficiencies in shipbuilding. By designing almost identical ships, we can streamline their shipbuilding process. Also, our ship construction timeline is accelerated due to a reduced design phase. Now another benefit of our fleet is its age. As shown on Slides 14 and 15, we have one of the youngest fleets in the industry, which offers significant advantage. To start, it allows for more efficient operations, including technological advances that result in lower fuel consumption. A young fleet also requires lower maintenance, which allows us to direct most of our capital expenditures to fleet expansion and the launch of new product offerings. This ultimately means that more of our capital is invested in initiatives designed to grow our revenue and cash flows. And the young fleet also has state of the art efficient design, which results in no wasted space or extra weight on board while maximizing the comfort for our guests. You can see this in the case of the river longships. As an example, the square bow allows more usable space. The same is the case with 3 full decks in the front, which enable us to accommodate more guests and therefore improve the profitability of the ships. Most of the vessels feature only 2 decks in front. This means that Viking can deliver a superior product to our guests while generating more revenue. In the case of our ocean ships, they were designed with a focus on our core demographic and their interests. To this end, we use the space typically needed for casinos and children's entertainment to accommodate staterooms and a broader range of on-boarding managers to improve the on-boarding experience. This layout allows us to operate with optimal guest to crew ratio while maintaining our high level of service. As you will see, all these are very relevant attributes that further enhance our margins and profitability. Now I will stress that while our ships are efficient and beautiful, it is the staff that sets us apart. Let us now review the booking curves, which are all as of February 23, 2025. On the next slide, you will see our curves for ocean cruises, that is Slide 16. The blue line shows the bookings for 2025. Overall, we have sold $2.4 billion of advanced bookings, which is 30% higher than last year at this point in time. Our operating capacity is up 18% year-over-year, and we have already sold about 87% of that capacity. I will also note that we are very pleased with the 2025 rates, which are $744 per day compared to $681 last year. Now if we move to Slide 17, you will see the curves of the river cruises. I will start with advanced bookings for 2025, which is again the blue line. As you can see, we have sold almost $2.6 billion in advance bookings, which is 24% higher than last year. Keep in mind that our operating capacity for river is up 7% year-over-year. Overall, from a demand perspective, we're having a great year with 89% of the 2025 capacity already sold at rates of $839 compared to $797 in 2024. In summary, these are very good trends for 2025. I will highlight that depending on the market conditions, we might not want to be booked too far out as we look to optimize pricing. If you look at the 2025 curve, some can argue that they're a little bit to see. This is more of an art than a science with many factors at play. We might want to slow pacing if we think that it will benefit the overall revenue. It's important to analyze the curves with these things in mind. Our focus at this time is on 2025, specifically selling the remaining capacity and resuming our main river season in Europe. We will not be sharing information on future seasons yet; however, note that both the 2026 and 2027 seasons are open for sale. Now Leah will add some color to our order book and capacity.
Leah Talactac: Thank you, Tor. Moving to Slide 18, since our last earnings release, we have a few relevant updates. This past December, we took delivery of the beautiful Viking Vela, an ocean ship that is operating in Europe. We also exercised our options and entered into shipbuilding contracts for 8 river longships, which are scheduled for delivery in 2027 and 2028, for each year. Additionally, we entered into option agreements for 8 additional river vessels to be delivered in 2029 and 2030, and we announced that we would build 2 additional river vessels to operate in Egypt scheduled to be delivered in 2027. Based on our committed order book, we expect a 53.3% increase in total berths for our fleet available for operations from December 31, 2024 to 2030. This calculation excludes the 6 river vessels in Russia and Ukraine. As it relates to 2025 capacity, we expect that the ocean ship, the Viking Vesta, will be delivered in mid 2025. Regarding the 10 river vessels, we expect the delivery to be evenly split, with 5 arriving in the first half and the remaining 5 in the second half of the year. Of these 10 ships, 7 will sail in Europe, 2 in Egypt, and 1 in Vietnam. Similarly to past seasons, more than 70% of the capacity from our core products will be in Europe, with the rest split across Australia, Asia, Egypt, North America, South America, and the Poles. As you can tell, Viking is experiencing exciting growth, and we are delighted to share our progress. While we continue to deliver strong financial results, our commitment remains unwavering. We prioritize our guests, treat all Viking employees like family, embrace a contrarian approach, and always strive to do what is right for the environment. With this, I conclude our prepared remarks, and I'll now turn it back to the operator to take questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] And the first question today is coming from Steve Wieczynski from Stifel. Steve, your line is live.
Steve Wieczynski: Yeah, hey guys, good morning. So, Tor or whoever wants to take this, Tor you kind of talked about how you -- you might be booked a little ahead of where you might want to be just based on the booking curves and potentially leaving some -- I guess leaving some price on the table, just wondering though why you haven't added 2026 into your -- into your booking curve charts yet, and then maybe give a little bit more color on how 2026 bookings are looking and if they would be in a normal range if they were, on those charts right now?
Leah Talactac: Hi Steve, thanks for the question. So you know this earnings call really we wanted to focus on the 2024 performance and then also close out the 2025 season from a booking perspective, and then of course we still have to operate 2025. We did come out and say that January was a really strong booking month for us, and that includes both 2025 and 2026 seasons. It's still a little early, but we are pleased to say that 2026 is ahead of 2025 at the same point in time, but again, our focus remains on finishing, selling the 2025 season and then operating the year in the same Viking standard that our guests expect. So we anticipate we will be able to give a more fulsome update for 2026 in the next call, but we kind of wanted to give an update on how 2025 is shaping up and also share that 2024 was a great year for Viking.
Steve Wieczynski: Okay, thanks for that Leah. And then second question, obviously there's been some news out there in the marketplace about Royal Caribbean and their celebrity brands entering, starting to move into the river market or markets. So, I guess the question's going to be how will you guys respond to new competition and maybe a better way to ask that is, what kind of keeps you guys in a unique position to fend off new competition moving into this space.
Tor Hagen: It is always interesting to see more attention to the space that we have been operating so long. We wish people welcome. I think we are in a very strong position as we are, as you know. We already have a 52% market share. It will take other people a little while to have a substantial dent in that, and we have a large order book. We have great customer satisfaction. And it's a bit different to operate small ships from big ships. It takes a special talent, which I think we have as a company. So I think we'll continue doing what we're doing, as you know, we have a pretty big order book too, so I think we'll have 108 river ships by 2028. So, 10 more or less from somebody else, is certainly something which will not make an impact on us. I think the important thing is when you come to the rivers, we have one -- we have a couple of advantages. We're very proud of the design of our ships as I'm sure will Royal Caribbean be, because they're -- they're good designers of ships and they have seen others do it well, but I think we have a couple of other things. We have a wide portfolio at river destinations. So people have a menu to choose from when they want to go on the river cruise with the Viking and that's a hard one -- to beat I'd say. And you know, we have a great direct marketing power. So I think we'll continue our business. We'll always look to what others are doing, but we'll continue business and shouldn't be overly worried about anything.
Steve Wieczynski: Okay, got you. Thanks, Tor. Thanks, Leah. Appreciate the responses.
Operator: Thank you. The next question will be from Matthew Boss from JPMorgan. Matthew, your line is live.
Matthew Boss: Thanks and congrats on a nice quarter. So, maybe, could you elaborate on current demand trends by region across both river and ocean, or any signs of pause whatsoever that you're seeing in today's backdrop with demand trends as you look at forward indicators today.
Leah Talactac: Hi Matt. I hope you're doing well. Thank you for the question. I think given where we are with the curves, we're 88% sold for 2025. We had a really good Q4 as well as a very good wave. So, as of right now, I think we feel [indiscernible] about our 2025 season. We're up on capacity, we're up in yields, and we're 88% sold. So, from where we're sitting today, we're in a good spot.
Matthew Boss: And then maybe Leah, could you elaborate on your total revenue approach if we think about 12% capacity, 7% pricing for 2025, just how you look to optimize yields relative to the double digit capacity multi-year.
Leah Talactac: Yeah, so I'll take this one. I think we've said it in the past and we still firmly believe this, that in a year with double digit capacity growth, mid single digit yield growth is really great and that's what we've seen for the past few years. So I think for 2024, just it reflects what we've been able to do. We increased capacity by 6% in 2024 while increasing yields by 7%, and as you know, for 2025 today, our capacity growth for our core products is 12% and we're at 7% yield increases, or advanced bookings per PCD right now. So I think we stick to that. We do feel that double digit capacity growth with mid single digit yield growth is good for the company, especially with the strong order book we have.
Matthew Boss: Congrats again. Best of luck.
Leah Talactac: Thank you.
Operator: Thank you. The next question will be from Robin Farley from UBS. Robin, your line is live.
Robin Farley: Great, thank you very much. Just wanted to clarify, in your comments a moment ago you mentioned that 2026 is ahead of 2025, and I wonder if you could clarify if that is price or volume or both, that I had was referring to and then also you just referenced the idea that mid single digit growth is what you would be aiming for with double digit capacity growth and based on your historic curves, to get to mid single digit yield growth for 2026, you would probably want to be at sort of 10%, maybe a little higher in terms of that booked revenue per cruise day for 2026 at this far in advance, just based on -- I would say that based on your yield curves for 2024 and 2025, would you say that where you are booked right now for 2026 is consistent with that -- with that pricing position that could get you to mid single digit for 2026 based on what you've seen and would appreciate any color on this, given so much uncertainty in the market I think would be really helpful for investors to kind of have that sense of how 2026 is shaping up. Thank you.
Leah Talactac: Sure. Hi Robin, this is Leah. So, we do want to stay focused on 2025 season and making sure that we closed out the year, but given the commentary that we've given about 2026, we don't give guidance, we're not ready to discuss 2026 until the first quarter earnings call, but I can say that it's both rate and also volume, but again with our capacity increases, we feel that we have been able to achieve mid single digits in the past, and we see no reason to think differently at this time.
Robin Farley: Okay, great, that is helpful, thank you. And maybe just as a follow up. Going back to the idea of sort of new entrants in the market, it's certainly I don't think investors are concerned that other new entrants would have anywhere near your market share in terms of capacity, but just thinking about demand, are there any things you would point to as barriers to entry in terms of docking rights, certain key cities on your itineraries or things like that that might be difficult for a new entrant to get -- any color around that might be helpful. Thank you.
Tor Hagen: Yeah [indiscernible] got a bit very obsessed, not only about our customers, but also about getting docking rights. So, it sort of stems back from the time when we bought the KD company, and they had a lot of docking rights on the Rhine and on the Elbe, which we got. So that is very important for us. So we have -- I think we have some 72 premier docking rights along the rivers. Of course, there are some that are particularly unique. For example, we worked for 7 years to get the right outside the Eiffel Tower in Paris, where we have a long-term contract for that, and also in Egypt right outside the Karnak Temple exclusive for us. So, I think these are very valuable things, as you rightly pointed out as potential barriers to entry. We are also strong on the Danube in Budapest, where we have a joint venture with the Hungarian government. So we have very strong positions on docking rights. That's important.
Robin Farley: Great, thank you very much.
Operator: Thank you. The next question will be from Andrew Didora from Bank of America. Andrew, your line is live.
Andrew Didora: Hi, good morning, everyone. A question for Tor, obviously, some of the earlier questions you spoke to this, but a lot of uncertainty in the macro, this morning airlines are lowering guidance because of it, I know you have a much different customer and but just curious, like in this type of macro environment do you manage your booking curves differently? Just curious if we should be, when you start talking about 2026, should there be any impact on maybe kind of your future booking curves as a result of this uncertainty and how you manage them? Thanks.
Tor Hagen: Well, I think we are delighted that we're so far ahead for 2025, so that we can sort of get that dealt with. It also gives us time, that these are uncertain times. It also gives us time to take any action that would be needed for 2026. We are in a unique position that we have a strong database or big database. So you can say we are contrary to people who depend on travel agents to generate demand, we also have travel agents, but we can generate demand ourselves, not out of thin air, but out of the database we have, and I think that's very valuable. Now that may cost us a little bit more marketing, but at least we have that ability. And we have a strong financial position, so I think we will deal with it. As you know, I've been in this industry for a couple of years and I've seen bad times come and bad times go. And I think it's important to be a bit of a contrarian and one should not despair too much when bad things happen. Most things pass after all. So I think as long as we are analytical about it and prepared to invest even if we see a slump that will be fine.
Leah Talactac: Andrew, I did want to point out, as we've said in the past our bookings are pretty sticky, so this really shows the strength of the booking curves that Viking has, which is as Tor mentioned we have time to react. So with 88% being sold for 2025, booking sticky, it really gives us runway in time to close out the rest of the year and then focus on 2026. So the fact that we're talking about 2026 sitting here in March of 2025, it's a little bit unbelievable, but such is the way things are, but it's the time factor and as Tor says things are cyclical and again with our customer demographic being high end well off, they are quite resilient compared to the average consumer.
Andrew Didora: Understood. Thank you for that. Just as my follow-up, I guess Tor, obviously you've done a good job diversifying kind of your river business a bit moving into Egypt and looking at China last year. When we think about over the next 3 to 5 years, if you were to prioritize other geographies for growth, how would you rank them going forward? Thank you.
Tor Hagen: Yeah, obviously, our main source market is the English-speaking world and there are many places they can go to. I think what we have in our portfolio is pretty much our bread and butter business, but we have seen as we opened up Egypt that has become very attractive to our guests, same with Vietnam and Cambodia, they are interesting places for our curious guests, and we hopefully will go to other similar places. But we have another area that we have been focusing on, and that is China, -- we don't make a big splash about it, but it's obviously a huge market and we have our operation there where we do it differently from other people. This year, we have 4 river vessels in Europe dedicated to the Chinese source market. And these 4 river vessels have Chinese staff, Chinese food. The captains and the nautical people are good Germans or Swiss or whatever they are. So they know the way up and down the rivers, but this has taken a little bit of time, but this can of course become a potentially significant source of business. And again, it's a philosophy that we have, which is different from most others. And that is if you go on a Viking ship of the ones we normally go on, it's English only on board. And if you go on the Chinese speaking ships, it's Mandarin only on board and largely Chinese -- Chinese food. They come to places to experience the history and culture around the river, and then they want to come home and be in comfort on our ships. And that is probably more of an opportunity than anything else we have. It's not easy because we are again marketing direct to the Chinese consumer, which is quite gutsy, but that is our belief.
Operator: The next question will be from James Hardiman from Citigroup. James, your line is live.
Unidentified Analyst: Hi, this is [indiscernible] on for James. Just taking a look at your advanced booking curves, is it safe to assume a similar flattening to the 2025 curve as we've seen in the past couple of years, or is there any reason to believe that it'll -- I don't know, flatten quicker or slower than it has in the past?
Leah Talactac: Hi [Sean] [ph], I think what you're seeing in the curve from this point forward generally is the fact that we're 88% sold. So, we have some remaining inventory and as you can imagine, it's mainly the fourth quarter, which is our lower yielding quarter, and so the flattening isn't necessarily flattening, it's really we're finishing off the season, which is what we anticipate doing in the coming months.
Unidentified Analyst: Right, I guess at the end of the year, can you remind us what -- there's some sort of, what's behind, how it kind of ticks down at the end of the year.
Leah Talactac: I mean, I think, the way our consumers are, we generally felt very well in advance. That is one of our big advantages. So once the year starts ending, you have a couple cancellations, which you see a little bit of a tick down, but it's not significant. And as you can see from our 2024 numbers, we had a very great year, one of our best yet with high yielding, high adjusted EBITDA margins, and a great adjusted EBITDA of 1.3 billion. So, I think the focus should be how well we've done.
Unidentified Analyst: Yes, of course, and I guess to that point and, and to previous question. Acknowledging that you guys are sold so far out in advance and you're much more insulated than other call it travel companies, and you spoke to strong January. Are you seeing any weakening in trends as of late, acknowledging that even if you were seeing weakening trends, you're able to kind of pivot and, and you're dealing with much farther out in bookings, but are you seeing any sort of weakening in those trends?
Leah Talactac: So, you know, following a record revenue book month in January, we are seeing that February is a little bit slower. This is probably a reflection of the uncertainties in the world, but again this advantage we have of the booking curves being far out is that we have the time to -- I wouldn't say catch up, but we have time to monitor the booking curves and then also then also start our marketing machine, which is what we use to generate demand. So all in all I think we are fairly -- we sit here feeling fairly positive about 2025, we're optimistic about 2026, and you know we're feeling good about how 2024 ended.
Unidentified Analyst: Okay, thank you. And one more quick one, how should we think about CapEx this year or next year? What do you, I guess planning to do with excess cash?
Leah Talactac: Similar to prior quarters, we have a very strong order book, so our capital allocation priorities are really to make sure that we have the ability to support that strong order book and we believe that a big cash reserve provides a strong financial safety net that provides stability and flexibility, we've talked a little bit about the uncertainties that the market is feeling right now and so this big cash reserve, I think bolsters our plans for the future and then our top priority is to reinvest cash in the business to generate strong returns. So, we are ready for an acquisition if the right opportunity presents itself, but you can see from our strong order book that we are focused on organic growth.
Unidentified Analyst: Okay. Thank you very much.
Operator: The next question will be from Brant Montour from Barclays. Brant, your line of live.
Brant Montour: Great. Good morning, everybody. Thanks for taking my question. So maybe for Tor, you guys have answered the question about near term bookings in a number of different ways. I don't want to re-ask that, but Tor you've seen this business through -- a long period of time and the highs and the lows. And your customer is predominantly American wealthy, and older, I imagine you would say that market uncertainty, these folks all have portfolios and asset prices going down is probably the number one factor that would maybe creep into bookings or cause hesitation to book. But, is there a factor also that you've seen maybe in past cycles where waves of anti-American, or the perception of anti-American sentiment, could creep into the broader media, cycle and cause Americans to not want a book abroad. Is that a factor you worry about it at all?
Tor Hagen: My colleague sit in the U.S. and I now sit in Europe, so I don't have a lot of anti-American sentiment here. But of course it is a thing one should think about in this day and age, but I think our guests tend to be highly educated, curious people, so I think it takes a little bit more than -- more than a few bad statements from somebody to scare them off quite frankly. And we're seeing for example, how popular our cruises in Vietnam are, it's history -- that's of course a long time back in history. But I think our guests are curious. They will undoubtedly be somewhat impacted by declines in portfolios. So the impact will not be nil, but I think -- they're not starving and they're not having jobs that they're losing. So I think they're much less impacted than most other travel companies, customers. But of course we should be aware of it.
Brant Montour: Okay, thank you for that Tor. Follow up question on the river competitive market dynamics that we had discussed earlier in the call, away from capacity growth from Royal Caribbean in river and the market share discussion, more on the product side, you guys have created an advantage by using the same design right and creating the distinctive product that customers know and love. Is there a concern to that advantage if Royal Caribbean is maybe the first competitor that would come in with a large balance sheet with an innovative culture and that could actually start iterating around a product, if that could create a buzz in and of itself. Is that something that you would then have to potentially pivot in your own long-term design plans?
Tor Hagen: You know, a river ship has to be less than 11 meters and 30 or 40 wide, 6 meters and a bit tall, and 135 meters long. So the ability to innovate is limited. We have done a few things, because we found that for a while one did not have full balconies on ships. So we found a way by having asymmetric design of the ship. That's a design pattern we have, that we can have full balconies and at the same time have suites on the other side. So I think there we have been innovative, but it's not so much innovation that can be done. We have also been able to get our ships being full 3 deck ships has become a bit technical, but we have a slide, I think -- Slide 14, I think it says, which shows how we are different from existing operators because we have been able to get 3 full decks and we said a bow doesn't have to be pointed, it should be square. So we've done that, so we managed to put 190 guests of similar sized cabins onto the same footprint where others get up to 164, maybe let's say 156 only. So we have been very innovative ourselves, but Royal Caribbean is known to be innovative, but I think we have what we have, and I say one thing is, of course, we shouldn't be too obsessed only with technology, but it's really the thing that matters is, where do we take our guests with short [indiscernible] for them. And what is the quality of our staff, we all like to think we have the best staff around, we have very, very good staff and I think Leah made the point that we treat our staff like family. We are public company, but the family on top has a lot to say about the style in which we treat each other, and I believe that most staff on our ships feel they're part of a family, and I think that helps bring it onward to the guests. That's comments we hear time and time again. But, we'll follow Royal Caribbean, but it's not so easy to go from a few to many. We have done it, but we will watch them. Maybe we'll learn something too.
Brant Montour: Great commentary. Thanks, Tor. Thanks everyone.
Operator: Thank you. The next question will be from Meredith Jensen from HSBC. Meredith, your line is live.
Meredith Jensen: Good morning, thanks. If you look to capture more and more of the wallet share from your very loyal customers and you enhance the land-based options and build out those, what kind of products or offering for your customers or travel agents are on the wish list, like what -- what sorts of things do you continually think we -- we may do that that might be something that our core customers would like to do to expand on land and excursions and other things like that.
Tor Hagen: I think the first thing we have done is of course, we had our -- we developed our expedition trips. So 2 years ago I went myself on a cruise to Antarctica, which was a phenomenal experience. This September I plan to go the other way and go to Greenland or what are they called in these days, red, white and blue land, but go to Greenland and then enter Northwest Passage. These type of things have turned out to be very, very interesting for our past quests. I think an important part of what we're doing is that we would like to be in charge of the product delivery to the extent possible. So it's limited what other things we can offer. But of course, when you look at the map and where we are, we can offer a vacation or semi-exploration anywhere in the world really. So, I think we're likely to remain on keels wherever we are, we could see that we go into [indiscernible], but it's not so trivial because we also like to have some scale, so we can make some money on it and not only to have an interesting product. Egypt has been exceptional for us, and the ships we have designed for there are very good and that's very interesting. So, it's likely to be a keel-based company for many years to come.
Meredith Jensen: Great, thank you. One quick follow up on speaking about Viking being as much of a marketing company as it is a cruise company, and how you're reaching out to the Chinese consumers as well as outside of North American consumers for your English-speaking cruises. Are there, as technology advances, and I know you've been ahead of the curve on these things, are there additional investments that we should look to help you better interact with these customers and potentially transact online directly as well as book directly in the future?
Tor Hagen: Is that for me, ladies? Obviously the world has changed, and I think we should like to be ahead of the curve. So we are doing more things on the technology front, and technology, not in terms of what certain other cruise lines have done like robotic bartenders and the like that. That's nonsense. But, in terms of what we can do on the marketing side, online booking, what they can do and how they interact on websites or whatever. We have lots of things underway. That's where I think big serious investments will be made in the coming years. And it'll be exciting to see what it looks like. It has changed a lot. For example, we had a call center, which was in our head office in Woodland Hills, then came COVID, and we managed to switch that over to being all at home overnight quite frankly, because of the technology we had. I can imagine if that had been the old days, which would have taken weeks. So, we are quite well equipped I would say, but here we will invest more.
Meredith Jensen: Great. Thanks so much for the color.
Operator: Thank you. And the final question today will be from Dan Politzer from Wells Fargo. Dan, your line is live.
Dan Politzer: Good morning everyone. Thanks for taking my questions. First, Tor, you take a lot of pride in being a contrarian historically. Can you talk maybe about the opportunities that you do see to lean in the year or how you do think about allocating capital, as far as M&A, can you just remind us of how you think about that and how it could fit into your existing company?
Tor Hagen: Yes. So first of all of course, it has allowed us to place orders for new buildings at the time when other people were afraid. That is as we came out of COVID. And of course, it allowed us to get new building contracts far out and that I shouldn't say reasonable, nothing is reasonable anymore, but at comparatively reasonable prices. So that's how we did that. There are some possible M&As. It's not entirely trivial, because we take great pride in being one brand, and so things have to fit into the one brand category. We don't want to be a conglomerate of brands. We want to have clear focus on exactly who we are. And you can say one of the things we are most proud of is probably I noticed there is no children, no casinos, no nickel and diming, then we don't have an island you can go to get fleeced. It's good for the P&L, don't get me wrong, but it's not good for the experience -- when people go on the Viking experience and they know exactly what it will cost. So it's not entirely a trivial, but I think if there are bad times for a few months, then maybe there can be some opportunities that come along. So that's why [indiscernible] to have 2.5 billion in cash. And of course if we look at that capacity, we also have some of that. So there are things we could do, and I'd rather invest money and developing the business than in [indiscernible] to shareholders, of which I'm one, I believe we can make better use of it in the company than I as a shareholder can do outside the company. So I think it may sound a little bit rich to sit on 2.5 billion, but it can give opportunities.
Dan Politzer: Right, that makes a lot of sense, and the track record speaks for itself, and just kind of for my follow up, I think it was you who mentioned there was February took a step back, there was some uncertainties there. Is there any way you can kind of elaborate on that or and have you seen kind of trends change or maybe improve or even deteriorate into March? And I apologize for the short term nature of the question. It just feels like everything is highly uncertain right now, so any additional detail or color would be helpful. Thank you.
Leah Talactac: Yeah, sure. So, coming from a banner month in January, February does look like it's slowed down a little bit, but at this point in time we go back to the curves where 88% sold for 2025, 2026 is pacing on a consolidated basis bit better than 2025 same point in time. So on the whole I think we're comfortable with where we are and at the end of the day what we have is time, so we have time to close out 2025 as Linh mentioned, really the remaining inventory is end of the year and then we have time for 2026 bookings to develop and then again, we're pointing back to our marketing capabilities and our ability to generate demand. So, I think, when we take a step back, we're fairly comfortable where we are from a booking perspective, and we're optimistic about 2025 and look forward to focusing on 2026 and reporting on that in the first quarter.
Operator: Thank you and that does conclude today's Q&A session. I will now turn the conference back over to Tor Hagen, Viking’s Chairman and CEO for closing remarks.
Tor Hagen: Yes, I'd like to thank everyone for joining us on today's call and for your support and interest in Viking. That's probably what I should say, and I wish you a very nice day.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time and have a wonderful day. Thank you for your participation.